Operator: Thank you, and welcome to BeFra’s Fourth Quarter 2024 Earnings Conference Call. Speaking on today's call are BeFra’s Chief Executive Chairman, Luis Campos; Chief Executive Officer, Andres Andres Campos and Chief Financial Officer, Alejandro Ulloa. Before we begin the remarks, the company would like to remind you that today's call will include forward looking statements, which are subject to various risks and uncertainties that could cause actual results to differ materially from those expectations. Any such statements should be considered in conjunction with the cautionary statements and the Safe Harbor statement in the earnings release issued yesterday and the risk factors discussed in reports filed with the SEC. BeFra assumes no obligation to update any of these forward looking statements or information. A reconciliation of and other information regarding non-GAAP financial measures discussed on today's call can also be found in the earnings release as well as in the Investors section of the company's website. Now I'd like to turn the conference over to the company's Chairman, Luis Campos. Thank you. You may begin.
Luis Campos: Thank you, operator, and good afternoon, everyone. 2024 was a year fueled with important achievements and continued strong momentum for BeFra’s. We delivered double digit revenue growth of 11.1% in Q4 2024 compared to the same period last year. This growth was fueled by the exceptional results of Jafra Mexico, which achieved remarkable 22.2% growth in the quarter. And despite the challenging operating environment, Betterware Mexico demonstrated resilience and continue to grow for the fifth straight quarter, exceeding last year results by 1.5% in the quarter. This strong finish to the year propelled Jafra to 8.4% revenue growth for the full year 2024 compared to 2023. Both Jafra Mexico and Betterware Mexico contribute to this success with Jafra achieving a 13% increase and Betterware 4.6% increase. While our consolidated revenue was in the middle of our 2024 guidance range, we faced unexpected and temporary external headwinds that hinder profitability. Despite EBITDA increasing 2% to MXN2.8 billion versus 2023, this was slightly below the low end of our guidance range, which was MXN2.9 billion. This slight shortfall was primarily due to the unexpected challenges in Mexico's international supply chain, where we suffer headwinds in the second semester from sharp Mexican peso depreciation, rate price increase and availability of products and growing product import duties, but was partially offset by a 15.4% increase in Jafra Mexico's EBITDA. Changing gears and looking ahead for 2025, I want to point out three relevant milestones that we will reach this year. Number one, Betterware Mexico will celebrate its 30th anniversary. This milestone reflects a long story of outstanding growth. Over the past 23 years, Betterware Mexico has achieved a remarkable KGR of 18% in revenue and 19% in EBITDA and expanded its associate base from 5,000 to 675,000, reaching an estimate 8 million Mexican households today. With an estimated 4% market share in the household product market, we are ready to seize the significant opportunity to deepen our market penetration and drive additional growth in the years to come. Number two, it will be five years since our U.S. IPO. Despite the difficulties these five years have laid forward, this period has been marked by achieving accelerated growth for the group. In the IPO, BeFra has multiplied revenue by 4.6 times, which represents a 35.5% KGR and EBITDA by 3.3 times at 26.7% KGR. At the same time, the value of BeFra assets has increased 2.4 times and the company has paid a total of MXN4.8 billion in dividends. All of this reflects our commitment and ability to consistently deliver strong results. Number three, it's been three years since the acquisition of Jafra. This strategic move brought a valuable brand, increased category diversification and demonstrated our ability to execute on our M&A strategy. Under BeFra’s leadership, Jafra has experienced a resurgence in growth and profitability with sales multiplying by 1.4 times, profitability by 1.6 times and EBITDA margins expanding from 13% to 20.7% at Jafra Mexico. While new acquisitions are part of our long term strategy, Jafra success makes us confident on our underlying hypothesis of adding value to new brands through our operating model. With these achievements as our foundation, we are poised to continue our legacy of excellence, driving sustainable growth and unlocking new opportunities in the years ahead. Before I pass the call over to Alejandro and Andres, I would like to communicate that Andres has been appointed by the Board as President and CEO of the BeFra Group. After 13 years of experience and great results, including as Betterware Mexico's CEO since 2018, I have full confidence in his vision and our exceptional team. The strong foundation of growth that we have built mainly a proven and resilient business model will continue to drive success. I am certain that 2025 will be a year of even more achievements and help solidify our leadership in the industry. I will remain on board as non-executive Chairman of the BeFra’s Board and will support Andres and the whole team in making all the strategic decisions. With that, let me hand the call to Alejandro, and I will return later with some closing remarks.
Alejandro Ulloa : Thank you, Luis, and good afternoon, everyone. As a reminder, all figures I will reference today are in Mexican pesos, our functional and reporting currency. Additional details are available in our earnings release published earlier. Before I begin my review of our quarterly and full year results, I would like to briefly comment on two relevant accounting changes that we have made derived from our 2024 audit revision by PwC. Specifically, and in compliance with IAS 2 and IAS 8, we are reclassifying labor and indirect manufacturing costs of MXN430 million in 2024 from operating expenses to cost of goods sold in our Jafra Mexico business. This measure affects Q2 2022 onwards, but has no impact on net revenue, EBITDA or net income. Finally, as we laid out in our earnings release document, we are presenting adjusted EBITDA and earnings per share for 2024, eliminating the accounting and non-cash loss derived from the sale of non-strategic land that Jafra owned, which accounted for a total of MXN696 million. That said, returning to our most recent financial results, consolidated net revenue grew 11.1% in the fourth quarter of 2024 compared to the same period in 2023, derived by the strong performance of Jafra Mexico and relatively stable results from Betterware Mexico, partially offset by Jafra U.S. results. Jafra Mexico's revenue surged 22.2% in Q4, fueled by commercial strategies that successfully revitalized the brand and strengthened its market presence, a clear testament to its growth potential and competitive positioning. Despite external headwinds, Better World Mexico achieved 1.5% net revenue growth in the quarter, thanks to diverse effective commercial strategies, but was tempered by rising product import duties and freight costs that impacted our ability to be more competitive and by a slight decline in associate engagement and activity following the second quarter stock outs of key products. Net revenue at Jafra U.S. decreased 17.6% in U.S. dollars, mainly due to lost momentum related to the implementation of Shopify Plus in the second half of the year, where we experienced adoption difficulties with some associates. This came after we had successfully stabilized this business earlier in the year, following years of decline. The revenue decrease was partially offset by the depreciation of the Mexican peso, with revenues decreasing 6% in pesos. For the full year, our group delivered an 8.4% net increase in net revenues, but not only due to: number one, Betterware Mexico grew 4.6% and was supported by strong performance in the first half of the year and continued growth in the second half. Number two, Jafra Mexico, which achieved an outstanding 13% net revenue increase, marking its second consecutive year of double digit growth since the acquisition. And number three, Jafra U.S, only slightly below last year's results with a decrease of 2.7% in U.S. dollars and decreasing only 0.3% in Mexican pesos. Our consolidated gross margin improved slightly, rising 116 basis points to 67.3% in Q4. This was largely fueled by a 675 basis point expansion in Betterware Mexico's gross margin, which derived from better promotional performance despite FX volatility, higher freight costs and product import duties increases. However, this was partially offset by a 460 basis point contraction in Jafra Mexico's gross margin due to prior year synergies and cost reduction that positively impacted Q4 of 2023 and are now distributed throughout the whole year in 2024. Adjusting for this, our Q4 2024 gross margin was in line with the previous year. For the full year 2024, our gross margin expanded by 70 basis points to 67.9%, driven by Jafra Mexico's strong 131 basis point increase to 76.3%, surpassing expectations due to a more favorable product mix, differentiated pricing strategy and continued efficiency benefit from scale. Betterware Mexico maintained a stable margin despite external cost pressures, supported by strategic pricing and optimization of certain costs. Despite significant external challenges, Betterware Mexico demonstrated strong resilience and effective risk management throughout the year. While our pricing strategy had a moderate impact on sales, the company successfully navigated market volatility in supply chain costs, maintaining full year profitability nearly in line with the prior year. In Q4, consolidated adjusted EBITDA declined 5.8% with a three sixty seven basis points margin contraction, primarily due to Jafra Mexico's EBITDA declining 17.3%, also derived from prior year synergies and cost optimization benefits that were reflected in Q4 2023, creating an unfavorable year over year comparison. However, decline was partially offset by Betterware Mexico's strong performance, where EBITDA surged 31.8% with a 508 basis points margin expansion derived from better performance of promotional initiatives and expense control in Q4 2024. That created, in this case, a favorable year over year comparison. For the full year, adjusted EBITDA increased 2%. This was mainly due to a 9.6% decline in Betterware Mexico's EBITDA, bringing its margin down three forty one basis points to 21.6%, partially offset by a 15.4% increase in Jafra Mexico's EBITDA and margin expansion of 42 basis points to 20.7%. Betterware’s margin contraction was derived from higher operating expenses linked to supply chain disruptions as well as other administrative expenses, all of which we will reduce during 2025. On the other hand, Jafra U.S. Experienced an EBITDA loss of $458,000 for the full year, but it is important to note that this was mainly due to onetime expenses of approximately $1 million related to legal settlements, without which we would have risen above the breakeven point with EBITDA of around $500,000 Free cash flow declined by 21.6% for the year, primarily driven by an extraordinary cash inflow in 2023 derived from increasing supplier payment terms in Jafra Mexico, which resulted in an extraordinary 87% increase in free cash flow to EBITDA ratio for 2023. Despite this, our 2024 cash flow represented 67% free cash flow conversion on EBITDA, which is within our normal historical range. Adjusted earnings per share grew by 10.5% in Q4 and 17.3% for the full year, driven by lower interest expense and gains on derivative instruments. During the year, we remain focused on strengthening our financial position, reducing total net debt and closing the year with a net debt to EBITDA ratio of 1.76 times, slightly lower than in the end of 2023. Our target for 2025 is to lower our net debt to EBITDA ratio to 1.5 times or below, maintaining a balance sheet that is both healthy and strategically positioned to support future growth. Given its confidence in our growth trajectory, the Board of Directors has proposed a dividend of ARS MXN250 million for Q4, subject to verification of the ordinary general shareholders meeting on March 7. This would mark our 20th consecutive dividend since our 2020 IPO, underscoring our unwavering commitment to delivering sustainable long term shareholder value with a total dividend paid in 2024 of almost MXN1,000 million. Looking ahead to 2025, we expect mid to high single digit growth for both net revenues and EBITDA in the range of 6% to 9%. We remain excited about our ability to capitalize on new growth opportunities, while generating robust cash flow and maximizing shareholder value. Our focus continues to be on delivering long term sustainable success, ensuring we maintain strong, consistent performance for years to come. Let me now pass the call to Andres, who will review our strategies to achieve these goals.
Andres Campos : Thank you, Alejandro, and good afternoon, everyone. As Luis mentioned earlier, 2025 is a year of celebrations, but more importantly, the consolidation of strategic focus and transformation. While we honor our past, we remain firmly committed to the future, embracing innovation, operational excellence and new opportunities for sustainable growth. BeFra centralizes our renewed vision, encompassing a portfolio of successful brands under a unified strategic framework, while preserving the unique qualities and characteristics of each. The foundation of our confidence in the future lies in the strength of our business model, built upon two core elements, great brands and one essence. First, our brands. We are not merely competing in the direct selling market. They are standing alongside the giants of the consumer goods industry. By focusing on innovation, quality, competitive pricing and creative marketing, we are confident in our ability to compete in broader high potential markets. The opportunity is vast, not just in our current categories, but also in others we intend to explore. Number two, our essence. It is the unique channel through which we commercialize our brands, providing a unique opportunity for millions of people who operate within the vast and growing gig economy. We are not just offering flexibility and income opportunities, we are redefining what it means to participate in this space. The appeal of our model spans generations, ensuring its relevance and growth in the years to come. Looking ahead, the transformational path for BeFra is built upon five priority fronts. The first one, conquer Mexico. We intend to consolidate our Mexican operations where both brands have significant opportunities. For Betterware Mexico, our focus is on expanding our reach to more homes and increasing our share of wallet. We currently have 25% home penetration in Mexico and an estimated 4% market share overall, representing a significant growth opportunity. To achieve this, we will continue refining our proven business model to enhance operational efficiency and scalability. On our consumer focus vertical, agile production innovation and revenue growth management strategies to maximize sales volume and profitability, developing exciting new products and niche categories that offer compelling value propositions to surprise and delight customers. We will also actively be pursuing communication sales channels, including modern digital ones to reach and engage customers. We will also be developing agile, attractive and creative communication strategies to enhance brand awareness and drive consumer engagement. On the sales force vertical, we will be simplifying and enhancing the attractiveness of our sales incentive program. We will also be implementing upgrades to our Betterware Plus app to better connect and interact with our sales force. Finally, we will also launch a new online training program for our sales force with a renewed learning management system tool. For Jafra Mexico, we will continue replicating our model to capture the opportunity in Mexico's beauty market and expand our 4% market share to become the number one direct sales beauty brand in Mexico. On its consumer vertical, we will do brand refreshments of our core lines, making them more modern and vibrant. We will also continue with product innovation that builds upon our most successful lines and or captures new niches in which we do not participate today. We'll also implement a refined pricing strategy that will maintain a balance between competitiveness and profitability. We will continue building brand awareness with our customers. And finally, for our catalog, we will enrich content through additional pages together with higher number of catalogs per associate to increase reach. On its sales force vertical, we will enhance our effectiveness by embracing digital transformation with the integration of Jafra plus to increase and improve our sales force digital capabilities. We will recalibrate our promotional plan to improve productivity and retention. We will invest in a segmented loyalty program with differentiated incentives for our sales force. And finally, we will also provide communication, promotions, events and training sessions to our entry level distributors to improve their productivity and engagement. Our second front is international expansion. We will continue positioning our brands in the U.S. Market through our model. Betterware U. S. Remains in its early stages of penetration, but it's already seeing promising signs of growth, such as growing recruitment and the beginning of brand awareness. In the case of Jafra U.S., we have successfully stabilized sales and our sales force, enabling us to capture growth again. It is important to state though that recent political disruptions in the United States could affect our U.S. operations in the short term, specifically derived from possible increase of product import duties on Mexican and Chinese manufacturing products, as well as the effects on Hispanic market consumption in the U.S. Market. That said, we are taking all necessary countermeasures to mitigate these effects and continue our expansion. Additionally, we are expanding into Latin America, where we are transitioning from Peru to Ecuador as our first MDM region market, given specific opportunities that could enable us to enter this market much faster. We are prepared to launch our operation in Ecuador in June 2025 and should be expanding to Peru and Colombia in the years to come. Our third front is inorganic growth. Leveraging our success with Jafra, we will continue pursuing additional inorganic growth by actively exploring companies that offer the opportunity to develop new product lines that complement our existing brands or that present new business categories or that could accelerate our entrance into international markets. Our forefront is a solid and centralized services that create operational and cost synergies. We continue transforming our support areas, namely finance, technology, talent, business intelligence and operations into modern advisors with centralized processes, fostering synergies between different business areas, while always keeping the consumer and our sales force at the center. And our fifth and last prompt, sustainability and impact. We will continue to strengthen our mission to create opportunities for people to build better lives, incorporating sustainability strategies under the motto of our 3Ps, which are people, planet and profit. We will upload a detailed presentation on each of these strategies onto our new Investor Relations website, so you can review the details of each of these three Ps. Within BeFra’s core and along the five priority fronts, we are building a company that is not only future ready, but future defining. Through the strength of our brands, the resilience of our model and the power of innovation, we are confident in our ability to generate lasting value for our investors, partners and customers. I will now turn the call over to the operator for any questions. And afterwards, Luis will return with some closing remarks. Thank you.
Operator: Great. Thank you. We will now begin the question-and-answer session. [Operator Instructions] First question here is from Eric Beder from SCC Research. Please go ahead.
Eric Beder : Good afternoon. Congratulations on a strong end to the year. A few questions here. First, let's talk about inventory. So the inventories year over year rose. How much of that was the desire to have more product? And then what should be the normalized inventory levels going forward?
Andres Campos : Hi, Eric. Sure. This is Andres. So for Betterware Mexico, as you remember that we mentioned that in the first half of the year, we experienced some inventory shortages due to the growth. And we also saw a difficult situation for the second semester because of rising freight costs and possibilities of supply chain disruptions. So we during the second semester, we built up inventory in Betterware. And I will let you know in a second what normal inventories should look like. Okay. If you can just give me a second. Okay. Let me just do another question.
Eric Beder : [Indiscernible].
Andres Campos : Yes. Thank you. So I'll come back in order with the answer for the inventory.
Eric Beder : Okay.
Operator: [Operator Instructions] And if there are no further questions, I'd like to turn the floor back to management for any closing comments.
Andres Campos : So just to before the closing remarks, just to answer, we would expect instead of the MXN2,500 million that we have by the end of twenty twenty four, it should have been around MXN2,000 million in 2024. With that, I will pass over to Luis for closing remarks.
Luis Campos: Thank you, operator, and thank you again everyone for joining us today. As we look ahead with our 2025 strategy and onwards, this marks the beginning of an exciting new chapter of our company, one of the transformation, extensive expansion and renewal growth. Over the past year, we have taken deliberate steps to strengthen our foundations, ensuring that we are well positioned to capitalize on new opportunities. Our strategic initiatives, operational improvements and disciplined execution have put us on a clear path to sustainable long term success. I have no doubt that now more than ever, the best is yet to come. Have a great evening everyone and goodbye.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you again for your participation.